Operator: Good morning, ladies and gentlemen, and welcome to the Goodfood Q3 2023 Earnings Conference Call and Webcast. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. As a courtesy to others, we ask that each participant limit themselves to one question and one follow-up. Instructions will be provided at that time for you to queue up for questions. Please note that questions will be taken from financial analysts only. [Operator Instructions] As a courtesy to others, we ask that each participant limit themselves to one question and one follow-up. I would like to remind everyone that this conference call is being recorded today, Tuesday, July 18th at 8:00 AM Eastern Time. Furthermore, I would like to remind you that today's presentation may contain forward-looking statements about Goodfood's current and future plans, expectations and intentions, results, level of activity, performance, goals or achievements or other future events or developments. As such, please take a moment to read the disclaimer on forward-looking statements on Slide 2 of the presentation. I would now like to turn the meeting over to your host for today call, Jonathan Ferrari, Goodfood’s Chief Executive Officer. Mr. Ferrari, you may proceed.
Jonathan Ferrari: Thank you. [Foreign Language] Good morning, everyone, and welcome to this call for Goodfood Market Corp. to present our financial results for the third quarter of fiscal 2023 ended June 3. I'm joined on the call today by Neil, Goodfood’s President and Chief Operating Officer; and Ross, Chief Financial Officer. Our press release reporting the quarter's results was published earlier this morning. It can be found on our website at makegoodfood.ca and on SEDAR. Please be aware that we will refer to certain metrics and non-IFRS measures, where possible, these measures are identified and reconciled to the most comparable IFRS measures in our MD&A. Finally, let me remind you that all figures expressed on today's call are in Canadian dollars unless otherwise stated. I will now turn to Slide 3 to review the highlights of this quarter. We are energized by this quarter's results, which demonstrate our team's commitment to build on the momentum of recent quarters and deliver strong financial performance highlighted by record free cash flows of $42 million of net sales. For second quarter in a row, we delivered positive adjusted EBITDA of $3 million, or a margin of nearly 8%. This represents a 0.6% improvement compared to the second quarter of this year, and a 24% improvement to last year. The operational efficiencies we have worked to gain have helped simplify the business and drove strong gross margins with gross profit stable year-over-year on a lower net sales basis. Combined with unwavering SG&A discipline, the improved gross margin has led to the strong EBITDA performance we now expect our full fiscal 2023 adjusted EBITDA to be positive. Converting our EBITDA profitability into positive cash flows has also been a key goal. As such, we are pleased to report positive free cash flows of $2.9 million this quarter, rising to $4.1 million once excluding outflows related to our turnaround, such as severance and lease exit cost. The strong free cash flow performance was supported by solid working capital management leading to cash flow from operations of $3 million. These metrics highlight the cash flow generation power of our business, and enable deploying internally generated free cash for multiple avenues of growth and shareholder value creation in the coming quarters and years. Speaking of growth, we are also reporting growing net sales of $42.1 million, a $0.1 million increase compared to the second quarter of this year. This growth comes earlier than initially expected and is the result of our most engaged customer segments ordering larger baskets with strong unit economics. Our initiatives to attract and retain customers with better profitability metrics is bearing fruit. We're generating the same gross profit as a year ago, on a smaller customer base. I will now turn to Slide 4 to review parts of our growth plan. As you can see, our focus on growing profitably -- profitability and free cash flow is delivering results. We simplified our operations and balance sheet, strengthened our capital position through financing and now cash flow generation and achieved consecutive quarters of positive adjusted EBITDA which we expect to be consistently positive going forward. Our focus now is to compound cash flow generating growth throughout fiscal 2024 and beyond. To unlock further growth, [indiscernible] and continue to build momentum around a series of initiatives aiming to capture an outsized share of our growing market by responding directly to consumer preferences and investing in constantly improving our value proposition to build on the loyal following of our customers. The long term secular trends driving online meal adoption remain intact despite the most -- the more recent challenging backdrop. The food at home market is one of the largest global markets and continues to be underpenetrated online relative to comparable categories. Following a positive online adoption growth, food at home online penetration is poised to reaccelerate, closing the gap to many other industries that have shifted online, including apparel or even furniture. More specifically, the global meal kit market is expected to grow at an 18% CAGR through 2030 as meal kits remain a convenient, cost effective and sustainable alternative to restaurant meals, takeout and grocery shopping. We are focusing our growth efforts on continuously improving our customer value proposition. First, we're increasingly tailoring meals to focus on customers' health and wellness needs with low carb, low calorie, keto and paleo recipes on the menu, creating delicious food experiences that allow customers to eat healthy meals throughout the week. We have also introduced organic proteins and will increase the availability of organic products in our offering, focusing on better for you products with a broad variety of fresh, locally sourced ingredients. Second, in order to combat inflation customers are looking for food experiences that spark joy, while being a cost effective alternative to restaurants, takeout and restaurant delivered meals. We provide healthy restaurant quality meals starting at just $13 per serving and are also launching lower priced add-on meal options and bundles. To further enhance value to our customers, we are leaning into restaurant partnerships to allow our customers to replicate meals from some of their favorite restaurants across Canada in a more cost effective way right at home. Overall, we have increased our recipe assortment by 23% to give customers a diversity of meal options and ingredients that will have them coming back for more, more often. Sustainability is clearly important to our members and it is just as important to us. We, like our customers, want to help our planet and leave it in a better place. As such, we have reduced our plastic waste by the equivalent of 2 million plastic bottles a year and we did not stop there. We recently worked in partnership with Less Emissions to offset the carbon emissions related to our deliveries. We continue to seek and build partnerships with farms that use green farming practices, such as regenerative farming, and vertically grown greens. Finally, as digital consumers become more and more savvy, we're investing in our digital experience to remove friction for our customers and make it easier and more fun to shop with us each week. Through these efforts we are continuing to impact important KPIs, such as an increase in the conversion rate of new sign ups, which nearly doubled in recent months. During the third quarter, we have started to see early traction on these key customer centric initiatives. We have grown revenue per active customer substantially, while the pace at which we reactivate and reengage customers is accelerating. We have also improved customer acquisition cost by double digit percentage points year-over-year, leading to the beginning of our profitable growth this quarter. Our goal is clear, we will look to grow our profitable customer base, enhance order frequency, and grow basket size by continuously elevating our customer value proposition and building customer acquisition efficiencies to capture strong long-term market growth trends. With our lean and scalable cost structure we require very little incremental G&A or CapEx for each additional dollar of revenue, allowing our cash flow generation to accelerate in fiscal 2024 and beyond. On that note, Ross will now provide additional details on our financial performance. Over to you, Ross.
Ross Aouameur: Thank you, Jon, and good morning, everyone. I will now turn to Slide 5, which provides details on our top line performance. Quarterly active customers during the third quarter were 119,000 compared to 211,000 in the same quarter of fiscal 2022, and 124,000 in the previous quarter this year, with the majority of the sequential quarterly decline stemming from our focus on acquiring and retaining customers with better economics. Net sales were $42 million for the quarter, a $0.1 million sequential increase compared to the second quarter. Its figure was reached on a smaller customer base as the increase in net sales was in large part driven by the larger baskets purchased by our customers and in parts by higher order frequency. This quarter, we continued to focus on growing our profitability in the near term by acquiring more profitable customers and focusing on our most profitable products. As such, we are pleased to have seen net sales per active customer increasing 4% since the last quarter as customers acquired and retained showed better order size and frequency metrics. We will now turn to Slide 6, which looks at our profitability level. We are pleased to have delivered consecutive quarters of positive adjusted EBITDA. Unadjusted gross margin again hit record levels in Q3 reaching 41%. The 1480 basis points improvement compared to the same quarter last year underscores the efforts made by our team to simplify and increase the efficiency of our operations. Combined with price adjustments and focus on our most profitable products, these improvements have now shown to be structural in nature and provide a solid platform to sustain profitability and to continue to drive positive cash flows. This level of gross margin has also contributed to again keeping our gross profit in total dollars stable, further supporting our profitability and positive cash flows this quarter. G&A expense reduction measures were also implemented this quarter and resulted in nearly $3 million of additional annualized savings. In total, we reduced our SG&A by approximately $23 million annually this fiscal year alone. These savings, combined with the structural strength of our gross margin resulted in a positive adjusted EBITDA of $3.3 million, a $14 million improvement year-over-year and a $0.3 million growth compared to Q2, gross margin of 7.8%. I will now turn to Slide 7 for a review of cash flows and capital expenditures. Cash flows from operating activities turned positive this quarter and came in at $3 million, a $17 million improvement compared to the same quarter last year. A smaller net losses as well as stricter payables and inventory management drove the improvement. Capital expenditures came in at less than $0.25 million relating mainly to capitalized labor for tech investment and payments of minor maintenance work. This continues our consistent reduction of capital intensity when compared to last year's third quarter CapEx of $7 million. As a measure of our cash flow generation ability, we introduced last quarter a metric that combines cash flow from operations and CapEx. That metric is free cash flow. As you can see here, when adjusting for restructuring related cash outflows, we generated $4 million of free cash flow, a $23 million improvement compared to last year. This positive performance has been a result of growing profitability, as well as lower capital investments and underscores our disciplined approach to cost management and capital allocation and our commitment to delivering long term shareholder value through substantial free cash flow generation. Turning to Slide 8, you will find a summary of the performance this quarter. Overall, as John mentioned, we are energized with the results of our team's hard work, which has driven growth in our net sales, sustained profitability and positive free cash flows. Profitable indicators continue to display consistent improvement and strength, demonstrating their unwavering commitment to return to and then grow our positive adjusted EBITDA and cash flows. This quarter's growth in cash flow generation are the standard upon which we will continue to build during fiscal 2024 and the launchpad for our plan to generate profitable growth for years to come.
Jonathan Ferrari: On that note, I will turn it over to the operator for the Q&A portion of this call.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. [Operator Instructions] Our first question comes from Frederic Tremblay from Desjardins. Please go ahead.
Frederic Tremblay: Thank you. Good morning. On -- Good morning, Jon. On the comment in the press release about completing a review of acquisition channels and initial improvements in acquisition costs. Just wondering if you could maybe share a bit more details on that and how that sort of plays into your upcoming strategies in terms of marketing to support growth in fiscal 2024? Just I guess on your conclusions from that review on acquisition channels and acquisition costs moving forward.
Jonathan Ferrari: Yes. So, our focus was to review both the digital experience and the way in which we can remove friction from how customers engage with us both in signing up, shopping with Goodfood and ultimately reactivating their subscription after they cancel. So really a full review of the life cycle and journey of the customer, as well as understanding how to track our channels on the marketing side in real time, understanding that the world is changing really quickly and what might be a really profitable acquisition channel in one quarter might need to be modified or changed in the quarter after. We've had a significant amount of success in increasing and reaccelerating reactivations to our platforms. So after a customer cancels their subscription, we've been playing around with different, both paid marketing tactics and marketing tactics on our own channels as well to reaccelerate that reactivation rate. And overall, that has a pretty significant positive impact on our customer acquisition costs. We've also had some great success in improving our customer acquisition cost of net new customers to Goodfood who have never tried Goodfood in the past. And what we're excited about on that front is, it really feeds both future reactivations and also referrals from friends, and there's been a core focus on the team to understand how we can increase and accelerate the pace at which we're getting referrals from net new customers to Goodfood. So those are a few of the things that we've been working on. And as we mentioned on the script, there's been -- we've almost doubled the rate at which we're able to convert customers from prospects on our digital platforms into customers, and so that's also had a positive impact as well.
Frederic Tremblay: Interesting. Maybe as a follow-up to that, do you have any visibility on sort of the size of the pool in terms of potential reactivations? I'm just thinking about where those fiscal 2024 customer additions will come from between reactivations and new customers. Do you have any maybe thoughts on those two avenues?
Jonathan Ferrari: So I would say the general trend is, reactivations have become a larger part of our customers over time, about, let's say, a year ago, we were probably in 20% -- kind of in the low 20% range of customers coming from reactivations, and that's progressed steadily over time to somewhere in the 30% to 40% range. And so, the way that we're thinking about it for fiscal 2024 and beyond is, when a customer cancels their subscription with Goodfood it's really a see you later moment, right? Like we see customers canceling either for seasonal reasons, it could be something -- a new routine in their life, many reasons for which a customer might cancel their subscription. And so, when we think of the full life cycle of our customer base, we go from acquiring a new customer, attempting to get referrals from that customer, increasing engagement rate from the customer while they're active, but then creating a seamless and friendly experience for them to cancel their subscription and come back later as a reactivation and some customers might reactivate multiple times over the course of a few years. And so, the reactivation piece is an important part of the lifetime value of the cohorts.
Frederic Tremblay: Very helpful. Thank you.
Operator: Thank you. Our next question comes from Martin Landry from Stifel. Please go ahead. Your line is open.
Martin Landry: Hi. Good morning, guys, and congrats on your results. My first question is with regards to the outlook, you've succeeded at reducing your operating cost, and that's translated into positive EBITDA for two quarters now. But I'm hearing you and your intention to grow your customer base, potentially increasing your marketing and incentives. You're also increasing your recipe assortment, I think it was up 23% this quarter. So I'm wondering, is there a risk that we fall in the same pattern as before, and is there a risk that we get back to a negative EBITDA on an annual basis for next year?
Jonathan Ferrari: Good morning, Martin. Thanks for the question. Ross, I can start and then pass it over to you if you have anything to add. I think the -- one of the important things that we've been talking about over the past few quarters is the discipline that we have on our gross margin, SG&A, capital investments has been a real shift in the business in terms of the North Star of the business and our desire to grow profitably. We've also changed management and team incentives to focus on free cash flow generation. And so, that shift is intended to continue for fiscal 2024 and into the long term. In order to grow, we are getting really smart on how we generate efficiencies like we were just talking about before on our marketing spend and on our customer platform. And that should allow us to continue to grow profitably. And one of the things that we're excited about is, we really don't need to invest much in terms of additional G&A or CapEx to significantly grow the business. We could grow the business 50% and have limited additional G&A or CapEx other than maintenance CapEx. So I think we're really set up like lean and mean and disciplined. And so, we're set up in a way to be able to grow profitably. Ross, is there anything you'd like to add?
Ross Aouameur: Yes. I think, if you read through the outlook and the remarks we prepared here, we consistently mentioned profitable growth in what underpins the profitable growth, including cash efficiencies, which means that if we can find ways to generate growth without adding marketing investments, I think that's definitely something we're going to lean into and using some of the cash flows we generate to support and invest in that growth. . I think the short answer to your question is, that's on our goal. Our goal is, as we've stated, to continue to have the structure to be EBITDA profitable going forward. And I think the initiatives we're setting up are really meant to use what we generate to grow. It's not a linear path to getting there. But the targets -- the cost structure we set up and the nature of our initiatives is really meant to protect profitability and looking to grow from the current base that we've built. And I think maybe to add a little bit to that is, while we're happy with the results with gross margin where it is and the SG&A reductions that doesn't necessarily mean that we're stopping there and that we're not going to look for further efficiencies. I think that's still on top of mind of not only myself, but Jon, Neil, and as Jon mentioned the whole management team and Goodfood in general to make sure that we continue to look for efficiencies and continue to look for ways to improve profitability.
Martin Landry: Okay. And I was -- just a question on the competitive environment. The market has consolidated in the last few years. And I was wondering how is the competitive environment right now? What are you seeing from your main competitors?
Jonathan Ferrari: We're seeing the usual typical summer seasonality. So I would say, in general, competitors tend to back off on some of their marketing initiatives during the summer months as it coincides with lower order rates in the industry. I think what we continue to see, and it's been a trend for multiple quarters right now. I think we're continuing to see very rational behavior in the market where competitors are all focusing on their unit economics and their continued profitability in the business, which serves as a solid foundation for us to continue to grow. And as you mentioned, like the -- certainly the Canadian market has consolidated into a small handful of players, which I think creates some pretty serious moats around the industry.
Martin Landry: Okay. Thank you. That’s it from me.
Operator: Thank you. [Operator Instructions] Our next question comes from Luke Hannan from Canaccord. Please go ahead. Your line is open.
Luke Hannan: Thanks. Good morning, everyone. I just wanted to make sure there's an item in the press release I want to make sure that I'm interpreting this correctly. You've spoken about in the past about Q4 being a period that's typically seasonally slower. But in the press release, it's mentioned that it's now providing an opportunity to build additional momentum. I'm just wondering exactly how we should be interpreting this? Are you suggesting that we should see what typically is -- should we see a little bit more strength in what's typically a seasonal quarter? Or how should we be viewing that?
Ross Aouameur: Thanks for the question Luke. I think it was meant to say within the outlook to show that or within the close to show that we're basically starting with initiatives and Q4 provides a time where we can test those initiatives and see the ones that are working and build momentum on those. I think from an overall performance, you can expect a very typical seasonal pattern, from a customer basis, customer acquisition basis but also from an order rate basis. So I don't think that's going to change. It's really meant to say that we basically started in Q3 implementing some growth initiatives that have shown early results, but our road map is quite long and deep. So it provides the opportunity to build the momentum and what works in Q3 by testing more things in Q4. But won't change the seasonality pattern.
Luke Hannan: Okay. Understood. And then I wanted to ask about the penetration of the VIP program as well. You guys called that out as a driver of strength and a driver of increase in ARPU as well. Curious if you can dimensionalize how big that program is right now in terms of maybe what it represents as part of your overall sales? And then also maybe how conversions of call it, normal customers to that VIP program, how that's progressed as well?
Jonathan Ferrari: Yes. Thanks for the question. So right now, we're targeting customers who have spent more than $10,000 in their lifetime value with Goodfood. And we're continuing to get a sense of what matters most to these customers and use that to build out the program going forward. So over the past quarter, we've done -- we did a live cooking event with our chef, our head chef Gordana and Nick Suzuki from the Montreal Canadians. So, kind of an exclusive access event for those VIPs. We offer like quarterly perks and special incentives for those customers. We try to get them access -- early access to some of our new products or offerings. For example, we just launched Bundles in our private label products. So we're able to save customers some money and introduce Bundles like we have a barbecue party pack and Italian discovery bundle and things like that. So we try to get our VIPs access to those products earlier than other customers. And then the last piece is really like our white glove concierge service. So if there is any issue or anything that happens with their deliveries, they're able to contact a dedicated concierge line. And we're trying to think about ways in which we can use that concierge to be able to upsell and cross-sell products to our VIPs and help them discover new products that might fit their lifestyle. So I think as we're -- it continues to be early days in how we're developing the program, but the focus is really on engaging those customers and making sure that they feel the love and want to continue purchasing with Goodfood and trying to think about ways in which we can even bring their quarterly order rate higher than where it was before the program.
Luke Hannan: Okay. Got it. Last one for me, and then I'll pass the line. I'm trying to get a sense of what your annual CapEx and lease payment expectations are now that you've done this broader restructuring and now you're in the facilities that you want to be in?
Ross Aouameur: Yes. It's a good question, Luke. I think from a CapEx perspective, we've initially had thought for the year that we'll be in the $5 million to $7 million range. I think you can see that up to a smaller amount than that. I think going forward, the reality is, our facilities are in good shape and our equipment is relatively new. I mean, there may be some maintenance things here and there, but I think you can think of the sub $5 million as a decent place to be with really the focus being on some maintenance -- on some specific maintenance items and some specific maybe debottlenecking here and there. But then the IT piece is where it's really capitalized, salaries for some of the IT projects we're doing, and those are -- will make, I think, the bulk of what we'll see in terms of -- in terms of CapEx. For lease payments, we've exited most of the leases we wanted to exit. I think we're still in our two main facilities and have now across that facility in Toronto just for our Good Career Initiative. I think you can think about it as -- once we get to where we want to be, something in the mid to high single-digit million dollars a year. I think you can look at 2019 as sort of our base for these payments given in 2019 we had similar facilities to what we have currently.
Luke Hannan: Okay. Appreciate it. Thank you.
Operator: Thank you. There appear to be no further questions. I'll turn the conference back to you speakers.
Jonathan Ferrari: All right. Thanks very much for joining us on the call this morning. We're looking forward to speaking with you again at our next call in the fall. Have a great day. .
Operator: Thank you. This does conclude today's conference call. Thank you all for attending. You may now disconnect your lines.